Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Nicolas Hieronimus: 0:05 Good morning. I'm very happy to be with you to present L'Oréal’s Annual Results for the first time as a CEO. I will be joined by Christophe Babule, group CFO and each division presidents Alexis Perakis-Valat for the consumer product division. Cyril Chapuy, for L'Oréal Luxe; Myriam Cohen-Welgryn, for the Active Cosmetics division; and our newest divisions president that I'm very happy to welcome, Omar Hajeri, for the Professional Products Division. 0:34 We will be presenting on behalf of all the members of the Executive Committee who participated in this year's performance. So let's start. I'm happy to hand over to Francoise Lauvin, Head of Investor Relations.
Francoise Lauvin: Good morning, everyone. It is our pleasure to welcome you to this presentation of L'Oréal's 2021 annual results. Unfortunately, this presentation is again this year in a virtual format, but we hope that next year we will be able to meet in person. This presentation is webcast live on our dedicated website L'Oréal-finance.com. As usual, the recording of this webcast will be available this afternoon in the annual results section of the same website. 1:23 Let's take a quick look at today's agenda. Highlights of our corporate responsibility program then each head of division will summarize 2021 key points of his or her division, as well as the prospects for 2022. Nicolas Hieronimus will conclude this first part of this conference and share with you his confidence in the future. We will then move to the Q&A session, which we expect to last about one hour. Before we start, let me draw your attention to a couple of points. 2:00 The meeting will be held in English but there is a French interpretation for those of you who feel more comfortable in that language. At the end of the presentations, the Q&A session will be in audio mode, you may use the audio connection now. If you would like to follow the presentations by phone in a listen-only mode. All Slides and visuals that will be shown are available in English and French on our website. For the Q&A session, we kindly ask you to state your name and company name as clearly as possible before raising your question in English. We will also take some questions sent by email and we kindly ask our journalists guests to raise their questions during the latter part of the meeting. 2:51 Finally, I would like you to read the disclaimer that is now on the screen. For those of you in an audio mode, it can be found on the last page of the presentations. I thank you for your attention and wish you a very pleasant meeting.
Nicolas Hieronimus: 3:05 Thank you, Francoise. And now I will invite Christophe Babule, our CFO, to come to the desk and tell us about our financial performance.
Christophe Babule: 3:25 The presentation of L'Oréal 2021 financial results will include items related to sales, results, cash flow, balance sheet, dividend, and to our environmental and social performance. Consolidated sales amounted to €32.3 billion, up 16.1% like-for-like, 16.9% at constant exchange rate and 15.3% reported. The impact of changes in the scope of consolidation is positive by 0.8%. It mainly comes from the acquisitions of the Mugler brand and Azzaro perfumes in March 2020, of the US skincare brand, Thayers Natural remedies in June 2020, of the Prada luxury beauty license in January 2021, and of the Japanese premium skin care brand, Takami, in February 2021. 3:56 The impact of currencies, which became positive at plus 3.3% in Q4, was negative over a full year at minus 1.6%. Over 2 years compared to 2019, growth was plus 11.3% on a comparable basis, sequentially accelerating quarter after quarter to reach an outstanding plus 16.6% in the last quarter. On this table, the main invoicing currencies. More than 60% of our sales is generated in 3 currencies: the US dollar for 23.4%; the euro and the yen today at parity for 19.6%. In 2021, currency developments are a bit mixed. The dollar depreciated by 3.6%. The Chinese yuan appreciated by 3.1%. The rubble, the real and the yen all fell more than 6%. Now given the volatile monetary environment, it is too early to predict what the impact of currency fluctuations will be on 2022 revenue. 5:32 But I can already tell you that the impact will be positive in the first quarter by around 4%. Sales by division. You are familiar with these tables but note that we have added a column that shows the comparable growth over 2019. All divisions are growing in 2021 and this is also the case over 2 years. The Professional Products Division grew by 24.8%. Thanks to a sharp acceleration in Q4, the Consumer Product division ended the year up 5.6% and return to its 2019 level on a comparable basis. L'Oréal Luxe grew by 20.9%. And with €12.3 billion in turnover, L'Oréal Luxe has become the group's largest division. 6:23 Finally, Active Cosmetics posted record growth of plus 31.8% in 2021 and of more than 55% over 2 years. It becomes the group's third division by size. Note here that the very solid balance of our business with 2 divisions of €12 billion and 2 fast-growing relays of close to €4 billion each. 6:50 During the first half of 2021, the group has redefined its geographical footprint. All geographies reported double-digit growth, whether reported or like-for-like. The growth rates by zones are differentiated as the markets evolve according to health conditions country by country. Europe has just returned to its 2019 level while all other regions are above the pre-pandemic levels on a comparable basis. Europe is growing by 10.1%, with strong growth in Russia, Spain, Italy and the U.K. in particular. 7:29 North America posted very strong momentum throughout the year and recorded the strongest growth of 22.2%. North Asia increased by 17.6% over an already growing base in 2020. Despite some slowdown towards the end of the year, sales in Mainland China grew strongly by plus 20.4% in 2021 and by more than 50% in 2 years. The SAPMENA-SSA zone is up by 13.9% with strong performance in India, Middle East and South Africa. Note that Australia and New Zealand are also up by double digits. In Latin America, the 20.6% growth was broad-based across all countries except Argentina. 8:19 By region, business breaks down as follows. Europe, which now includes East and West is the group's largest region with 31.5% of total sales. North Asia accounts for 30.5%. North America, the most dynamic in 2021 represent just over 1/4. The SAPMENA-SSA zone accounts for 7.2% of sales and Latin America for 5.5%. By category. Skincare, our number one category with more than 40% of sales continues to grow at plus 17.7% in '21 and at plus nearly 28% over 2 years. Makeup is still penalized by health restrictions. It nevertheless recorded a rebound of 13.1%. This is the only category still below 2019 levels. Hair care is very dynamic at plus 16.7%. Hair color increased by 3.6% on a high 2020 base. And fragrances, which were negatively impacted in 2020, recorded a very strong rebound of almost 35% driven by the growth of our pillars and the success of our launches. 9:39 The profit and loss account. Gross profit at €23.8 billion represent 73.9% of sales, which marks a remarkable improvement of 80 basis points compared to 2020. Changes in consolidation had a negative impact of 50 basis points. The impact of currencies was negative by 20 basis points. Now on a comparable basis, gross margin increased by an even more remarkable 150 basis points, thanks to favorable premiumization and mix effects. In addition, the increase in volumes led to better absorption of fixed costs in the supply chain and of inflation on certain raw materials. It should be noted that the rise in input costs will likely have a stronger impact in 2022 particularly in the first half. 10:33 Research and innovation costs increased by 6.7% to more than €1 billion or 3.2% of sales. Advertising and promotion expenses increased by 22% or by nearly €2 billion in value to more than €10 billion. They amounted to 32.8% of sales. That is 190 basis points more than in 2020. We have allocated a significant portion of the resources generated by the improvement in the gross margin to marketing investments depending on the local or regional context, market by market to stimulate the growth of our brands. 11:15 Digitalization continues at a very rapid pace. Our digital media expense is accelerating sharply, in particular on social networks. It represents 73% of total media spending in 2021 compared to 63% the year before. SG&A expenses amounted to 18.8% of sales, down from 20.1% in 2020. They increased by 7.7% or at half the sales growth. This demonstrates a strict cost management discipline and the positive effect of the overall sales and distribution organizations in several divisions, while certain expenses, in particular travel expenses are still constrained by health restrictions. In total the operating margin improved significantly by 50 basis points to 19.1% of sales. 12:15 Profitability by division. The profitability of the Professional Product Division increased strongly by 250 basis points to 21.3%, at a level higher than before the pandemic. That of the Consumer Product division was 20 basis points lower to 20.2% and return to its 2019 level. L'Oréal Luxe saw its profitability increase by 40 basis points to 22.8%. And Active Cosmetics, the most profitable of our division posted 25.2% margin. 12:51 Non-allocated expenses, mainly central and fundamental research costs, fell by 10 basis points to 2.8% of sales. Overall, a new record margin of 19.1%. From operating profits to net profit, excluding nonrecurring items. The net financial charge excluding dividends amounted to €59.6 million. For the full year 2022, net financial charge of around €40 million can be anticipated all other things being equal. 13:28 Sanofi dividends amounted to €378 million, and you will have noticed that Sanofi has just announced an increase of 4% of its dividend. The tax amounted to €1.5 billion. The tax rates stands at 23.7% in line with what we announced last July and below the rate of 25.2% the year before. 13:55 For 2022, we can anticipate at this stage of the year all the other things being equal, a tax rate of around 25%. Net income excluding nonrecurring items amounted to €4.9 billion and diluted earnings per share to €8.82. That is an increase of 20.9%. We will now complete the review of the profit and loss account. Nonrecurring items amounted to a negative €341 million net of tax. Before tax, they amounted to a negative €432 million, and mainly included asset impairments for €337 million, including the goodwill of e-cosmetics for €254 million, already recognized in the first half and that of the Magic brand for €83 million. Restructuring charges of €150 million, which mainly comprise €60 million for changes in the organization and distribution in Europe, €29 million for the reorganization of the sales force of the Consumer Product division in North Asia and €28 million for the restructuring of production activities in Europe. On the positive side, €55 million mainly due to the reversal of a provision relating to an intellectual property litigation. 15:22 After taking nonrecurring items into account, net profit after noncontrolling interest reached €4.6 billion, up 29%. Cash flow amounted to €6.6 billion, up 16%. The working capital requirement show a slight improvement of €88 million. CapEx reached €1.1 billion and represented 3.3% of revenue. For the whole of 2022, an investment in the order of 4% of sales may be expected. Operating net cash flow amounted to €5.65 billion up 3.1% compared to 2020 and 12.4% compared to 2019. 16:14 Share buybacks reached €10 billion. I will come back to this in a moment. After payment of the dividend, acquisitions, share buybacks and repayment of the lease debt, the receivable cash flow is negative by €7.7 billion. The share buybacks of €10 billion mainly relates to the strategic transaction announced on December 7 consisting of a buyback by L'Oréal of 4% of its own shares held by Nestle. The total price paid to Nestle was €8.9 billion and based on a unit price of €400 per L'Oréal share. 16:54 These shares will be canceled today. And after cancellation, Nestle stakes in the capital of L'Oréal will come to 20.1%. The transaction will be accretive for all shareholders. The portion of shares held by the employees, institutional and individual shareholders together will increase to 45.2% and the stake of the Bettencourt Meyers family to 34.7%. The transaction will have an accretive impact of more than 4% on 2022 earnings per share. For your estimate of 2022 EPS, it will therefore be relevant at this stage of the year to retain a diluted average number slightly below 538 million shares. 17:41 The transaction was financed in a balanced manner by available cash on the one hand and new debt on the other. Thus, at the end of 2021 the group's net debt amounted to €3.6 billion and €1.9 billion excluding lease debt. The gearing ratio comes to 15.2% and the financial leverage or net debt over EBITDA is 0.5. The group's investment capacity for its future development remains intact and the balance sheet is better optimized. 18:19 The balance sheet remains very robust. Shareholders' equity of €23.6 billion represented around 55% of the total balance sheet. The group's historic performance during this past year as well as the quality of the balance sheet led the Board of Directors to propose to the AGM a new increase of 20% in the dividend to €4.8 per share. This new increase in the dividend leads to a payout ratio of 54.4%. This is in line with L'Oréal's consistent dynamic balanced dividend policy. 19:02 L'Oréal has always demonstrated a very strong commitment to environmental and social responsibility. Last year, I introduced you to L'Oréal For The Future our second generation of responsibility commitments initiated mid-2020. This new program aims at a more radical transformation of our business model to respect the planetary boundaries and to associate our ecosystem with our transformation with a new series of ambitious and concrete objectives by 2030. 19:36 You can see on this slide some of our achievements at the end of this first year of deployment of this strategy: to fight against climate change; manage water sustainably; respect biodiversity; or preserve natural resources. For example, regarding climate, the group is committed to achieving carbon neutrality for all of its sites by 2025. At the end of 2021, 100 sites including 25 factories had already achieved carbon neutrality that is 58% of our sites. In 2021, L'Oréal was once again rewarded for its social and environmental performance and recognized among the best companies in the world by nonprofit organizations, rating agencies or international bodies all leading in their respective field. I thank you for your attention.
Nicolas Hieronimus: 20:32 Thank you, Christophe, for presenting what is a very solid P&L and business performance, a good illustration of the L'Oréal Virtus circle. We are now going to start with the presentation of the division's results. And Omar Hajeri will be the first one to speak for the Professional Products division.
Omar Hajeri: 21:01 Good morning, everyone. 2021 marks the completion of our division's turnaround with an exceptional performance. On a full year basis, we grew by 24.8%, with a significant acceleration throughout the year, in a market estimated to be at plus 11%. Compared to 2019, we grew by 16.8%, a spectacular growth. We outperformed the market and gained market shares in all regions: in North America at plus 27% with a record performance led by our increasingly powerful salon-centric distribution channel; in Europe at plus 18%, with impressive growth in France, Germany and Russia; and in North Asia at plus 40%, with a strong year in China plus 54% with incredible events such as [indiscernible]. 21:55 This performance over 2 years is the result of our winning strategy, built on 3 key growth drivers. First, disruptive innovations to radically differentiate our 2 core categories, Hair Care and Hair Color. In Hair Care, we've grown at plus 31%. We renewed our approach by premiumizing our portfolio and offering breakthrough technologies for the most demanding and diverse types such as Curl Manifesto Kerastase and our disruptive new ranges, Metal detox by L'Oréal Professional and Acidic Bonding Concentrate by Redken. In Hair Color, our growth at plus 21% has been driven by the strong performance of Shades EQ by Redken and [Indiscernible] by L'Oréal Professional. 22:44 Our second growth driver is the acceleration of our e-commerce, which represent 23% of our total turnover and which advanced by 39% during the year. From our [Indiscernible] e-commerce, to pure beauty players, to social commerce allowing studies to sell easily online to their clients, the division has become truly omnichannel. 23:06 Our third growth driver is the full digitalization of our B2B activation model. To accompany the fast development of independent stylists in key markets, the division has reinvented the way it reaches professionals around the world. We created unprecedented customer reach at a lower cost by digitalizing 2 key engines of the division: order taking, with our e-commerce platform, L'Oréal Partnership; and education, with L'Oréal Access. Our e-learning platform is now deployed in 100 countries. 23:43 In the US where we own our distribution network, salon centric, we delivered incredible customer experience off-line and online especially with independent studies. They represent 60% of the US market. Moreover all around the world, we have invested in social media and live streaming to reach our studies at scale. Take, for example, the [indiscernible] virtual event in India, which gathered 200,000 studies at the same time. 24:12 We have now a powerful data-driven off-line plus online ecosystem to engage, train and serve salons and independent studies in a more personalized way. Thanks to this new digital activation model, the division has accelerated the recruitment of new clients. We've gained 52,000 salons last year. 24:34 In 2022, I'm confident that we'll outperform the market through our robust and wide-ranging innovation agenda. Innovation in our products, in Hair Care with [indiscernible] Kerastase, we will go a step further by responding to the extreme needs to all color treated hair. In hair color, color gels lacquers by Redken will allow hair hairstylists to reach 100% great coverage in just 10 minutes. Innovation in tech, we recently unveiled at the Consumer Electronics Summit Color Right, an AI-connected hair color system that creates on-demand customized hair color, a completely new in-salon color experience. Innovation in sustainability. We will launch the L'Oréal Water Saver, which cuts water usage by up to 65% in salons. This breakthrough technology has been ranked in the top 100 innovations by Time Magazine. 25:28 As the leader of the industry, we will embark the entire hair stylist community on the sustainability journey with the rollout of our hair stylist for the future program. With this bold innovations dedicated to [indiscernible], we will continue to drive the transformation of the industry. Our division is now totally reinvented more inclusive, truly omnichannel, more digital, data-driven and more sustainable. We are ready for the future, ready for growth. Thank you.
Nicolas Hieronimus: 26:01 Thank you very much, Omar. And you've shown that you're not only ready for the future, but also ready for the presence with a great growth in 2021. We're now going to move to the Consumer Product divisions with Alexis Perakis-Valat.
Alexis Perakis-Valat: 26:22 So good morning, everyone. The global beauty mass market is back, growing by 4.5% in 2021 to recover its pre-pandemic size. For our division it was a year of acceleration on all fronts. We closed the year at plus 5.6% versus 2020. But even more telling is the way we picked up speed last year quarter-after-quarter. Taking 2019 as a base, we started down 4.3% in Q1 and ended the year with a strong plus 6.1%. And you'll see the same pattern in our performance against the market. We were slightly behind in 2018 and 2019 but started to regain share in 2020 and then widened that lead last year. 27:12 All regions are growing starting with a strong acceleration of the US, where we posted double-digit growth in the second half with a significant increase in market share. But we gained ground in Europe as well, particularly in the U.K. and Germany, where we grew twice as fast as the market. 27:31 2021 has also been a strong year in high potential markets with double-digit growth in China, strong outperformance in Brazil and Mexico and a particularly good year in India, up 25%. Our 3 biggest brands performed well. L'Oréal Paris rose by 5.5%, crossing the €6 billion mark. Garnier took advantage of its green beauty equity. And Maybelline benefited from a great vintage of innovations like Sky High, our biggest mascara launch ever. Also note, the very strong performance of the next professional makeup at plus 26%, putting it back well above pre-pandemic levels. And another big success has been 3CE by [Indiscernible], our Korean makeup brand, which starred as the number one mass maker brand in the latest Chinese Double 11 shopping festival and makeup in general, was one of our major wins last year, growing at plus 13% almost twice the pace of the market driven by an exceptional roster of innovations. But let me also mention hair care up 9% on a blend of successful new products and a strong focus on execution. 28:50 Looking ahead now, building on our 2021 success, we have a very strong innovation plan on all our brands and categories to start the year. We have established as well 3 key priorities for the future: 1, lead the premiumization of mass; 2, accelerate in emerging markets; and 3, champion the tech and digital revolution. 29:14 Let's start with premiumization. This goes right to the heart of L'Oréal's strategy. We've always been obsessed with premium quality backed by science to justify our premium price tag. And with inflation on the rise and raw materials cost increase, our aspirational and innovative brands give us the pricing power we need. 29:38 Let me give you a couple of examples. In hair care over the last 2 years our average price per male increased by 9.5%, with launches like L'Oréal fall resist in China or hair food from Garnier. In Skin Care also, we're launching L'Oréal Paris Midnight Serum Everywhere. It's our most expensive serum ever. And it's off to a strong start because it's a one of a kind skin care technology packaged in a luxurious edge glass bottle. 30:11 And to pilot this premiumization, we are implementing a real data science of pricing. For which, we have built powerful proprietary tools and advanced analytics to inform our pricing decisions and maximize our volume value equation. Our second priority is to build emerging markets as our fourth growth engine, next to China, the US and Europe. By emerging markets, we mean South Asia and the Middle East as well as Latin America and Africa. 30:46 As I mentioned earlier, we gained significant market share in the top 3 emerging beauty markets: Brazil, India and Mexico. And going forward you can expect to see further acceleration in these regions where the middle class will increase by 0.5 billion people during the decade. Moreover, their new urban generations are highly connected and much more beauty savvy than their parents, always on the lookout for new beauty solutions and aspirational brands. It's a major shift accelerated by the rise of e-commerce and an unprecedented growth opportunity for us. Speaking of e-commerce, our third priority lies in championing tech and digital, the biggest revolution of our times. Our online sales growth has been outstanding, not only in the emerging markets, but all over the world. We were up 18% versus 2020 and 73% versus 2019. Our strategy has been to help our e-commerce partners unleash the power of beauty. 31:53 As in China around the world, we're now staging beauty festivals and reaching our e-commerce content and developing new services like virtual diagnosis for online shoppers seeking help to make the right decision. But e-commerce is only one piece of this revolution. Digital and data are transforming the way we promote our products. We were absolute first-movers last year on TikTok with spectacular results especially on our makeup brands. And indeed last week, Gartner released their Digital IQ ranking, naming Maybelline and L'Oréal Paris as the top 2 digital beauty brands in the US 32:35 And in our quest to stay ahead of the fast-changing digital landscape, we have placed a strong focus on consumer data collection allowing us to reach new levels of partnership with our retailers and to increase the efficiency of our media investments where digital already represents more than 60%. And finally, we are convinced that tech will propel beauty to the next level. A good example of what the future holds is the new L'Oréal Paris Color Sonic device that we unveiled at the last CES in Las Vegas a true game changer for at-home hair color. 33:14 So as you can see, our engines are running at full speed to keep us out there ahead of the market, positioning us for robust future growth. That's why in spite of all the uncertainties, we're starting this new year with the energy of the tiger. Thank you.
Nicolas Hieronimus: 33:32 Thank you very much, Alexis, for being the Tiger of the Consumer Product division and for accelerating quarter-after-quarter. We're now going to be moving to our fastest-growing division, Active Cosmetics, with Myriam Cohen-Welgryn.
Myriam Cohen-Welgryn: 33:52 Good morning, everyone. 2021 was an exceptional year for L'Oréal Active Cosmetics. Our medical strategy is bearing fruit in a context where doctors are more trusted than ever. The division achieved a record growth, plus 31.8% on a comparable basis, plus 55% versus 2019. We grew 2.5x faster than the dermocosmetics market, which is estimated at 12%. As a result, the division strengthened its leadership in medical beauty. 34:32 So what explains our amazing acceleration? We have identified 4 success factors. First, the power of our 4 complementary brands. They perfectly address consumer needs for more health and safety. This is a long-term trend that was exacerbated by the pandemic. Let's start with La Roche-Posay. In 2021 this brand, which is the number one dermocosmetic brand, entered the top 7 skin care brands worldwide. Its growth accelerated up to 28% more than doubling versus last year. This, thanks to its life-changing products and to the success of [indiscernible] acne serum. 35:20 Our newly acquired CeraVe brand grew by 75% and became the number three brand of the dermocosmetics market. The international expansion of CeraVe was massive, while in the US the brand grew at 55%. Surfing on the success of the moisturizing cream, cleansers reach the number 2 position of the big US face care cleansing market. 35:48 Regarding [Indiscernible] the brand grew by 31%. It reinforced its number one worldwide positioning of the medical aesthetic skincare market. The brand also boosted its antioxidant authority with the Silymarin launch. Finally, Vichy was stand around, growing at 9%. This is the result of the reactivation of the brand's medical roots, without forgetting the success of LiftActiv HA serum. 36:20 Second success factor, on medical leadership. Indeed, the trust in our brand is rooted in their medical credentials. In 2021, we have increased by 26% the number of doctors we reach. Now we partner with more general practitioners and pediatricians. We have also doubled the number of our publications in scientific reviews. Therefore, our division has reinforced its prescription leadership. The most prescribed brand by dermatologists in the world is La Roche-Posay. The number three is Vichy. 36:59 The third key reason for success is our digital leadership. With the support of dermatologists, we are now definitely leading digital advocacy on skin's care and are at the forefront of services. E-commerce has continued to boom across all zones, reaching the €1.2 billion mark and became, so to speak, our number one country. 37:26 Fourth success factor is our international expansion. All zones grew above 20% with exceptional growth in the US, China and the U.K. Last but not least this success is obviously also linked to our exceptional teams worldwide, whom I want to thank for their commitment. And now, tomorrow. You may wonder if growth will continue. It will. We are confident for the future. 38:03 First skin issues which already touch 2 billion people on a constant rise. In 2022, we have a very strong innovation plan. We are confident in our ability to carry on bringing life-changing innovation to address these very specific needs. For instance, on medical device, [Indiscernible] is a game-changer in eczema treatment. Further, after years of research, we will launch this year a new UV filter. La Roche-Posay [indiscernible] has the potential to disrupt photo protection. 38:43 Second, we are confident because our digital edge puts us in a good position to see the amazing opportunities offered by medical platform. The newly announced partnership with Verily should help us step change skin care health management for both dermatologists and consumers. 39:04 Finally, there is still a great reservoir for growth with the global rollout of our brands especially in Asia. Health is the future of beauty. You've seen it. Our medical strategy is bearing fruit. We will continue to push it to the highest level. Thank you.
Nicolas Hieronimus: 39:28 Thank you, Myriam, for these great results and this very promising presentation. We are now going to close our division's presentation by the division that has become the biggest division of the L'Oréal Group, L'Oréal Luxe, presented by Cyril Chapuy.
Cyril Chapuy: 39:46 Good morning, everyone. 2021 was a year of bounce back for the luxury beauty industry. Even though brick-and-mortar doors were closed for months in several regions and our traffic was still very disrupted, the total market ended the year with an evolution of plus 16%, after a minus 14% in 2020. It is therefore almost back to pre-COVID levels. And it grew strongly in all key regions. 40:14 Within that context, L'Oréal Luxe had a superb performance. We ended the year at plus 21% like-for-like, with €12.3 billion in net sales. This means a plus 11% versus 2019. And importantly, we accelerated each and every quarter versus this pre-pandemic reference. Last but not least, we're also very proud to have become the first division of the L'Oréal Group. In 2021, the brands of L'Oréal Luxe were stronger than ever. Lancome passed for the first time the €4 billion bar. Yves Saint Laurent and Georgio Armani also gained significant market shares and are solidly installed with skills in the top 10 of luxury brands worldwide. And our growth relay brands were highly contributed, noticeably Valentino, Prada, Alien Goddess by Mugler and Maison Margiela all above 30% growth worldwide. 41:19 In 2021, the market shares -- the market share gains of L'Oréal Luxe were very sharp across all 3 categories of luxury beauty. In skin care, we made significant strides at plus 18% versus a market at plus 14%. This thanks to the confirmed success of our ultra-premium skin care and thanks to our very powerful innovation on the critical anti-aging segment. In Fragrances, we strongly reinforced our worldwide leadership at plus 35% on a market at plus 27%, with the continued performance of our worldwide pillars, especially Libre by Yves Saint Laurent launched only 2 years ago, but already ranking in the top 5 of fragrances worldwide. With our very successful new launches also, and finally, with our collection business booming in Asia. 42:14 In makeup, we also continued to gain market shares at plus 13% on the market at plus 10%. Thanks to a very impressive Lancome in the West, thanks to the confirmed success of a Make parties brand Shu Uemura in Asia and thanks to the very best about launch of Valentino makeup. In 2021, L'Oréal Luxe conquered market shares across all its key regions, balancing more than ever its geographical footprint. In North Asia, L'Oréal Luxe has grown by plus 20% on the market at plus 16%. 42:51 This performance is driven by Mainland China, which once again posted highly remarkable growth at plus 28% allowing us to strengthen furthermore our position on the Chinese consumer, the number one Luxe consumer on the planet. We also gained very significant market shares in Hainan, a key travel retail destination for Chinese shoppers. In North America, we confirmed a clear recovery. On a market back to very positive territory at plus 22%, L'Oréal Luxe posted an impressive plus 34%. We finalized the reshaping of our business model in the USA with the closure of hundreds of not productive enough doors in parallel to strong reinvestments in [Indiscernible] and e-com capabilities. In Europe, L'Oréal Luxe has delivered a very solid year, evolving at plus 13% on a market at plus 8% and reaching historical share levels. L'Oréal Luxe France, for instance, confirmed for the second time in a row being the number one Luxe player well ahead of the previous leader. 43:56 Finally, for emerging regions, on a still small luxury market, but growing at plus 12%, we are conquering positions for the future at plus 21%. All in all, in 2021, L'Oréal Luxe outperformed its market for the 11th consecutive year. With a very balanced performance between online and off-line in a division that has become fully omnichannel, we kept pushing behind e-commerce. Online has grown by plus 24%, representing 37% of our business. Whilst at the same time reinventing also in brick, off-line has grown by plus 19% behind fewer and better doors, raising the customer experience and services to even higher standards. And of course, we remain totally obsessed by connecting booster channels online and offline through data collection, loyalty and CRM. 44:54 Looking ahead now on the 2022 perspectives. We are first convinced that the market will show a strong dynamism. The desire for luxury amongst the rising upper middle-class worldwide is still extremely vivid. And beauty is at the end of the day a rather accessible luxury. At L'Oréal Luxe, we will be fully ready to keep outperforming the market because we have the best brand portfolio, first, for very powerful and global billionaire brands. Beyond which, we will keep investing consistently to make them the most desirable, creative and admired signatures. And we also have exceptional growth relays, worldwide famous couture brands and also very complementary category expert brands in skin care, for instance with brands like our newly acquired California and vegan brand out to the people, still have a tremendous potential of geographical expansion. 45:31 We'll also be ready to keep outperforming the luxury market because our innovation plan is a fantastic one, a grand one in 2022. In terms of unforgettable products, with even more performance and science in skin care with even more centrality and care in makeup with even more intensity and elegance in fragrances. Also, in terms of tech innovations so that we keep offering game-changing new experiences to our Luxe customers, like 100% personalized shade of lipstick with the multi-patented Yves Saint Laurent [Indiscernible] like 100% personalized mascara recommendation with the [Indiscernible] VR powered Lancome diagnosis. 46:40 Finally, I'm fully convinced that we will be ready to keep outperforming the market because of the fantastic passion, talent and luxury know-how of our L'Oréal Luxe teams around the world who I'd like to thank very, very sincerely. As you can see despite the rather uncertain environment, I'm extremely confident in 2022. Thank you.
Nicolas Hieronimus: 47:06 Thank you very much, Cyril. And congratulation again for this great year. So good morning, everyone. I'm very happy to conclude this part of presentation. And before starting, I would like to take this opportunity to pay tribute to the memory of Manfred Thierry Mugler. La Maison Mugler [indiscernible] joined the L'Oréal family back in 2020. And it was with great sadness and emotion that we learned of his death. Mr. Mugler was a creative genius and a true visionary, without whom, the fashion and beauty world would not have been the same. Going back to our results and before taking your questions, I would like to share with you the key learnings of what was truly a historic year for L'Oréal. 47:56 Historic year indeed as L'Oréal sales grew by 16.1%, our highest growth in 33 years at a time when the group was 10x smaller. Our growth compared to 2019 reached plus 11.3%, which means that L'Oréal has returned to its precrisis growth space, thanks to the amazing commitment, talent and expertise of our teams worldwide. I wish to thank them warmly for this great achievement. I will start with some comments on the rebound of the beauty market in '21. Second, I'll comment on a few highlights of this year's performance. And third, I'll be sharing with you why you should be confident for the future of L'Oréal. First, the beauty market. It grew by 8% in 2021. After a decline of 8% in 2020, 2021 was the year of the rebound for the beauty market. Despite a challenging context, the beauty market is almost back to its 2019 level. By category, the market is driven by skincare and fragrances, while makeup is progressively recovering. Apart from makeup, all categories are nearly back to their 2019 levels. 49:03 By channel, e-commerce remains a strong growth driver, but brick-and-mortar has bounced back despite a few phases of stop and go due to the pandemic. Travel Retail has experienced a significant rebound but is still far from the pre-pandemic levels and we can bet on a further recovery of Travel Retail in '22. By zone, the market was driven by North America and North Asia while Europe progressively recovered and SAPMENA experienced an uneven rebound due to the health situation. 49:35 The Chinese market slowed down in the second half because of high comparatives and new zero COVID lockdowns, but its growth versus 2019 remains very dynamic and its medium-term prospect, very positive. 370 million people will be added to the middle classes by 2030 and they will want beauty. Obviously, the beauty market has been transformed by the pandemic. Consumers want more health and safety in their products, more transparency, more sustainability, and more science in an ever more digitalized market. 50:11 But what this year tells us is that the appetite for beauty is huge, universal and that beauty is essential for humans. That beauty is an offer-driven market powered by innovation, technology and by intuition and creativity. That beauty is a brand-powered market where consumers in their infinite diversity relate to brands that come with a personality, a purpose, brand that invest year in and year out to earn their trust. That beauty is a market where scale matters, big brands, big renowned star products win. And that beauty is diverse and cultural, a market where your global strategy must be adapted to specific local realities. All these new or pre-existing trends put L'Oréal in the best spot to win. Indeed, in this dynamic and transform market, 2021 was a historic year for L'Oréal in terms of overperformance. 51:06 Firstly, as mentioned, we achieved our best growth since 1988 and outgrew the market by a record multiplier of 2. And if we compare to 2019, we outpaced the market by 12 points. Secondly, this was an exceptional year in terms of collective performance. 2021 was the year of the grand slam when L'Oréal outperformed its market in every division, in every zone and in every category. 51:33 The division presidents have already shared key elements of their 2021 performance with you, but I nevertheless want to highlight 4 game-changing achievements which made 2021 a historic year. First, L'Oréal Luxe, which is also highly profitable has become our largest division. It has strengthened its fragrance leadership and its leadership in China. And it has proven its ability to compete across the globe in terms of luxury and creativity. 52:01 Active Cosmetics our most profitable division has doubled its size in 4 years by surfing on the Quest for Health and is spearheading the group's leadership in dermatological beauty. The Professional Products Division has totally transformed this business model from a salon business to a fully omnichannel business and a platform for salons and independent stylists around the world. And the Consumer Products divisions, our number one division in volume and therefore, in recruitment of consumers has accelerated quarter-after-quarter to outgrow the market by a 1.5 multiplier. CPD has rebalanced its business with much less makeup dependency and leverage its global scale while staying always locally relevant. 52:47 Our performance is strong in every category. Skin care remains the number one growth contributor. It now represents over 40% of our sales. And we are outgrowing the market 2.5x, thanks to our science-driven innovations and wide price tiering across divisions. Fragrance is experiencing a very strong acceleration notably in the USA and in China. We are increasing our leadership in makeup. 53:14 The category is bouncing back, but still far from 2019 hindered by mask wearing. But we remain bullish for makeup in the midterm, and we intend to bring more innovation to stimulate consumer desire. Hair products represent a key category to penetrate and recruit new consumers. And 2021 was a year where we got a real breakthrough in premiumizing the haircare category, both with the Consumer Product division and our Professional division, thanks to genuine formula and concept innovations. 53:45 We also outperformed the beauty market in each geographic zone. Our global market share reached 14.2%, 1 point ahead of 2020 and we gained market share in every zone. In 2021, North America became the number one growth contributor of the group. In a market that benefited from President Biden stimulus to boost consumption, L'Oréal USA is back and is benefiting from its rebalancing strategy towards more skin and hair care, more e-commerce and more effecting A&Ps, and as a result, has been gaining market share in every division. 54:21 North Asia is our other strong major growth engine. Even if we saw the beauty market slowing down in the second half due to high comparative and some resurgence of COVID cases, our growth stayed very robust in Mainland China versus 2019, with H1 at plus 58% and H2 at plus 49%. Our brands rankings and performance during the [Indiscernible] were outstanding, with L'Oréal Paris and Lancome in the top 3 and the L'Oréal Group as number one in sales across all industries. It demonstrates once again the long-lasting appetite of Chinese consumers for our brands. 55:00 Europe, the group's stronghold managed to grow its already high market share to 20.1%, with a very solid performance in the U.K. and in Germany. In Europe, we gained 70 basis points of market share in 2021 in our top strategic countries. The [Indiscernible] and Sub-Saharan Africa zone performed despite very difficult sanitary context. India was a highlight of the zone and e-commerce continues to be both a major growth driver and an opportunity across all markets and all categories. And in Latin America, we had one of our best performances in years particularly in Brazil, Mexico and Chile. 55:42 Thirdly, in terms of distribution channels, brick-and-mortar bounced back at plus 13%. The crisis has allowed us to move away from the long tail of unproductive stores and to focus growing the best ones, which remain essential to our strategy. Travel Retail has grown 22%, mainly through [Indiscernible] and fueled by North Asia. 56:02 We continue to leverage our digital competitive edge in e-commerce, which continues to thrive at plus 26%, reaching 29% of our sales. Beyond our Chinese stronghold, we accelerated in e-commerce in all regions. Our digital edge extends of course to our consumers' engagement strategy. In 2021, 73% of our media was digital. We invested across full funnel beauty engagement touch points and gained more than 20% share of voice online plus offline. 56:35 We created strong own assets to satisfy hundreds of millions of followers of our brands on social pages and we have 230 direct-to-consumer sites. With this, we nurtured our brand equities and desirability as more than 5 L'Oréal Group brands are in the top 20 of digital brand pulse index in our key markets. In 2021, we accelerated on digital services, which we deployed across 20 -- 33 brands. We connected services to CRM and analyze 7 million users through skin diagnosis. 57:11 So it was indeed an exceptional year in terms of top line and market share performance. And in addition, it was really an exceptional year in terms of P&L. Indeed, in terms of P&L all the stars were aligned. We reaped the top line benefit from the major rebound of our activity as well as the benefit of favorable mix effects on our gross margin, which increased by 80 basis points with more luxury, more skin care, more e-commerce, more D2C. More than 2/3 of our 2021 growth came from [Indiscernible]. 57:46 We led several transformational projects to make our business leaner and the duration of the COVID pandemic permitted extra control of our SG&A, which reached a record low of 18.8% of our turnover. This ideal and quite exceptional combination of factors allowed us to strongly invest in A&P behind our brands and at the same time to improve our operating margin by 50 basis points at 19.1%. The group's earnings per share grew by 20.9% to reach €8.82. This will allow us to propose a dividend to the general assembly at €4.80, a progression of 20%. 58:27 In one word, 2021 was a perfect illustration of the L'Oréal virtuous circle. And I want to associate to this performance, our Chairman, Jean-Paul Agon, who I want to thank for his guidance and support. Looking ahead to 2022, we remain ambitious despite the global uncertainties and the headwinds in terms of raw material and packaging inflation. We are confident in the continued growth of the beauty market. In addition to increased volumes driven by the growth of the middle classes, the market will also continue to preimmunize. We estimate that the beauty market should grow between 4% and 5% in 2022. 59:08 Regarding inflation and cost of goods, it will be a headwind in the first half. And it will be partly offset by our operations team through value analysis, substitutions or negotiations. Besides, in a premiumizing market, our divisions have also developed AI-powered revenue growth management resulting in a mix of price increases, promotions and format strategies. Most of which have already been agreed with our retail partners. In parallel, we have productivity opportunities in our A&Ps. Over the last year, we have invested to harness the power of data to measure and improve the ROI of our marketing fuel through new AI-powered tools. This will help us get more bangs for our bucks or even get the same bangs for less bucks. 59:54 As always, in 2022, our brands will once again be on the offense in terms of innovations to offer superior products and experiences to consumers around the world. And as far as the economics of sanitary situation is concerned, L'Oréal will leverage its ideally balanced profile and its agility to keep outperforming the beauty market. In such an unstable [Indiscernible] world this balance is a winning superpower. 60:22 Now looking beyond 2022, I'm even more optimistic and ambitious. We are in the best position to enjoy years of sustainable and profitable growth. First, the buyback of 4% of its own share held by Nestle last December is very positive for L'Oréal and all its shareholders. It reinforces the shareholder structure of L'Oréal around the Bettencourt Meyer family and Nestle and will allow the group to continue to deploy its strategy with a long-term vision. 60:53 Second, our portfolio of brands is stronger than ever. The group counts 8 billion of brands whose growth was double-digit in 2021. We have several candidates to join that prestigious club in the near future. We have luxury gems such as Prada or Valentino. And we keep enriching our brand portfolio with the acquisitions of Japanese brands, [Indiscernible] and California-based brand used to the people. We occupy beauty on all fronts. 61:23 Third, we will continue to invest in maintaining our digital edge. And our brands are already exploring the new frontiers of gaming and metaverse. But what truly makes L'Oréal future proof is our transformation around beauty tech and sustainability. Of course beauty tech can be about products. And at this year's Consumer Electronics Show, we won 3 official innovation awards for color sonic for [Indiscernible] water saver. 61:54 But becoming the world-leading beauty tech company is really about entering a new era of research and innovation under the leadership of Barbara Lavernos, where we will leverage the power of data and AI to invent the future of beauty. For example, our AI-powered formulation tools can save us month of efforts as we transforms our formula to meet our sustainability goals and comply with ever-changing regulations. AI is also allowing us to leverage in real time all the comments about our products posted online as we upload them in our research database. 62:31 We have also announced major strategic data partnerships with tech companies. For example with Verily, the health stack from Alphabet to advance precision skin health, with Clue, [Indiscernible] working on hormonal cycles and with [indiscernible] that analyses the impact of climate, UV and pollution. Tech and AI will also accelerate our transformation towards green sciences, which is well underway to reconcile performance, safety and sustainability. 63:03 In terms of sustainability, L'Oréal continued to roll out its L'Oréal For The Future road map that was first launched in 2020. By 2025, all of our sites will achieve carbon neutrality. And in 2021, all the sites of L'Oréal USA reached that goal 4 years before the due date. 63:24 Even though there is still much to do, our journey to date has been recognized externally. For the sixth year in a row, L'Oréal was awarded a AAA score by CDP, Carbon Disclosure Project, with top scores on all 3 environmental themes: climate change; water scarcity; and the fight against the forestation. We are the only company out of over 13,000 to have achieved this. We have also been identified for the seventh year running as one of the most highly engaged companies of the United Nations Global Compact. L'Oréal, of course is also committed to ethics, gender equality and good governance. And last month, we were recognized by the Bloomberg Gender Equality Index for the fifth year in a row. Today, 47% of our strategic positions are held by women and we have increased the diversity of our Executive Committee. But just like sustainability our great results are just an encouragement to go further. In 2021, we launched our new L'Oréal For Youth program. We offered more than 18,000 opportunities to individuals less than 30 years old, most greatly affected by the pandemic. 64:33 Finally, what is our greatest asset to win in the future are our people and our culture. In a post-COVID world, where many people seem to be wanting to change lives or jobs, L'Oréal is seeing increased engagement from its employees around the world in the office or at home. In 2021, we moved up to the top 5 of the most attractive employers in the universal worldwide ranking, scoring as the highest European and French multinational company. 65:03 Our generous employee policies adapted to the new hybrid world, our strong values, and our purpose to create the beauty that moves the world, which we illustrated in 2021 in our first global corporate campaign, make our employees proud, passionate and very engaged. I want to dedicate this historic year to them because it was their collective achievements. And thanks to the L'Oréal teams, we are very confident that we will deliver in 2022 another year of growth in sales and profits. Thank you.
Cyril Chapuy: 65:58 Well, I'm back to the desk and I think it's time to open the Q&A session. We are ready to answer your questions.
Operator: 65:58 Thank you. [Operator Instructions] Our first question comes from the line of Olivier Nicolai from Goldman Sachs.
Jean-Olivier Nicolai: 66:28 I got two questions, if I may, please. Firstly, we've heard a lot of commentaries about disposable income pressure for the consumer in the US, in Europe and in many emerging markets. Are there any specific markets or part of your portfolio where you see any pressure moving into H1 and beyond? And secondly, talking about, Nicolas, when you talk about IMP, you mentioned that you should get more bang for your buck. Now marketing spend has increased significantly to 32.8% of your net sales. That's a €2 billion increase compared to last year. And I assume you will see the benefit from investments into this year, too. But should we expect the marketing spend as a percentage of sales to remain at these levels going forward? Or could it normalize more towards the year -- previous year's average, which was around 30%?
Nicolas Hieronimus: 67:22 Thank you. So I guess I will take this question. As it relates to the pressures on the purchasing power of consumers due to rising costs or inflation, we haven't seen any of it so far in any of our countries. And I must say that L'Oréal is probably one of the best equipped companies to address whatever evolution there is there because of very wide price tiering between our Luxury division and its high prices to seduce upper classes and our CPD division, which sells shampoos at €2.50, mascaras below €5, we -- I think we can cover pretty much all levels of purchasing power. So today, we haven't seen any impacts at that level. 68:13 And as it relates to the A&P increase, it's true that this year we have increased a lot our A&P. And I must say it has paid off in terms of market share gains because a 2x multiplier growing twice the speed of the market, has to do, of course, with the quality of the products we put on the market, but also to the level of spending and support that we put behind it and the quality of that spending. This being said, it's true that I said that this year was kind of exceptional as the -- all the stars were aligned. And probably, we can assume that the percentage of A&Ps may not necessarily remain at exactly the same level as in 2021. I don't think it will go back down to the previous levels. But we have some opportunities as I said to be a bit more productive as it relates to A&P.
Operator: 69:15 Thank you. Next question comes from the line of Guillaume Delmas from UBS.
Guillaume Gerard Delmas: 69:22 Hi, good morning, everyone. A couple of questions for me, please. The first one is on China. Because from a headline number standpoint, it seems that China decelerated in the last quarter of the year to around mid-single digits. So I'm curious to hear your thought from this softness. If it's just down to a challenging basis of comparison in the quarter and/or have you observed some signs of cooling of in the Chinese beauty market that may be continuing into the first weeks of 2022, because you remain very upbeat about the medium- and long-term prospects of China. But just interested in what your outlook would be for the short-term. 70:16 And then my second question is probably a question more for Cyril. It's on fragrances. We have seen from your numbers but also from your competitors in a very consistent way, very strong numbers for the fragrance category in 2021. So curious to hear, what has been leading this fragrance boom? Is it just reflective of a significant recovery of a soft 2020? Or do you see some penetration gains, both in the North America and Asia? And I guess among the new brands you acquired in the last 2 to 3 years, what could be the most impressive success story for the next few years?
Nicolas Hieronimus: 71:00 Do you want to start, Cyril? So -- and I'll take China right after you.
Cyril Chapuy: 71:06 No. It's pleasure. You're absolutely right. The fragrance market was very dynamic this year and close to a plus 30% worldwide. It was plus 27% exactly. And it was very dynamic across regions, not necessarily only in regions where the market had gone down with COVID. So this is an important point. I think there are several reasons to that. 71:27 First, I think fragrance is very much linked to new consumer behaviors, which are very much centered around pleasure for me, well-being. And fragrance is a category which is totally answering to this need. Second, fragrance is a category that allows you to get back to social life also, just like makeup. And after COVID, I think all customers worldwide wanted to go back to a more active social life and fragrance is a very social life product. 71:54 But there are more fundamentals that explain the growth of fragrance. First, it's the explosion of the Chinese market. Historically, fragrance were a small category in China. It was less than the 5% of the China luxury market and it's growing extremely fast. In the last months of the year, Fragrance is close to 10% of the Chinese luxury market with new generations of Chinese customers discovering fragrance and loving the experience. So I'm really optimistic for the category in the future years. As you know, we are the number one in fragrance -- in luxury fragrance worldwide with above 20% market share worldwide. 72:33 And I think we have the perfect portfolio for the years to come. First, because we have very strong couture brands. Saint Laurent, which managed to put Libre in the top 5 worldwide of fragrances in just 2 years. Armani, of course, our newly acquired Prada and Valentino. But also more creative fashion, couture brands, more niche ones, but which are highly appreciated, like Mugler, Viktor & Rolf, [Indiscernible]. And finally, we are very well positioned on the market that Chinese consumers appreciate very much, which is the collection fragrances. This collection of 20 to 30 extremely creative juices like with Maison Margiela [indiscernible] Armani Prive. So all in all, I think we are well positioned in this market. And I strongly believe it's going to keep growing close to double digit in the years to come.
Nicolas Hieronimus: 73:26 Thank you, Cyril. Now going back to China, I am upbeat for the Chinese market, short and medium term. It's true that it's quite hard to read the monthly or quarterly performance of China both because the historical bases are changing with the lockdowns and reopening. Second, because Hainan is -- which is now part of the Chinese consumption has also to be taken into the equation. So overall, the Q4 was actually at the global market rather than more accelerating versus Q3. It's in high single-digits. And I think that looking ahead and if I see from what's happening at the very beginning of the year with good traffic in department stores, good traffic also in the Hainan stores, I think that the Chinese market will continue to grow in high single-digits on what is a very, very big base. 74:21 And then there is our ability to overperform that market. And we've proven that we could grow almost twice the speed of the Chinese market despite our strong leadership. And there I'm extremely bullish because for several reasons. One, as you just heard from Cyril, we are the worldwide leader in fragrance and fragrance are exploding in China right now. Second, we also have lots of white spaces in hair care, in premium hair care, which have begun to be seized by CPD and clearly also by the Professional division. And third, if we look at penetration, I'm not even talking about the spend per inhabitant of the Chinese consumers, which is 1/3 of Americas, is that we only reach today with our -- despite our leadership around 100 million Chinese consumers that's our assessment, out of a target of 600 million, which is going to be increasing as I said in my presentation. Therefore, the opportunities of growth are huge. I think we're going to have a good first quarter in China. And more importantly we're going to continue to invest very strongly in that market because this is the market that is going to become the number one beauty market in the world.
Nicolas Hieronimus: 75:35 Thank you very much.
Operator: 75:36 Thank you. The next question comes from the line of Iain Simpson from Barclays.
Iain Simpson: 75:45 Thank you very much. A couple of questions for me if I could. I wondered if you could talk a bit about Helena Rubinstein, which has gone from being really quite a small brand to a candidate for billionaire brand in just a few years, it seems. You're obviously doing something very right there. And I wondered if you talk a bit about how that's playing in the super premium skin care space. 76:07 And then secondly, I wondered if we could talk a little bit about survey in the US, which clearly has done phenomenally well, growing more than 50% in ‘21. It does look like surveys market share has been stalled in the US since the summer. I just wondered if I’m reading that data right and if we should expect to see [indiscernible] mature a little bit in ‘22.
A –Nicolas Hieronimus: 76:35 Thank you. So I guess we’ll hand over to Cyril for Helena Rubinstein and then to Myriam for Survey.
Cyril Chapuy: 76:42 Now Helena Rubinstein is a fantastic success story. It's positioned on the top of the skin care market worldwide and what we call super premium, which is a category which has been booming over the last 5 years. We have actually 2 brands very well positioned on this segment of the market Helena Rubinstein and [Indiscernible]. 77:03 Rubinstein has grown very, very significantly because of our strategy, which is to build a very high-quality long-term skin care brands. You have to know that Helena Rubinstein formulas are exceptional, they're highly concentrated in actives, extremely loyalizing to customers. Second, the [indiscernible] part of sale is pretty exceptional, with cabin aestheticians in every single point of sale in a very limited distribution. 77:32 And in [indiscernible] a very selective brand. And obviously, third, the brand is loved by Chinese consumers. We are the number one consumers of super premium skin care on the planet. And the brand locally, the teams locally have done an amazing job at developing very strong advocacy influence strategy on the upper part of the market of skin care in China. So I'm – as you mentioned it yourself, I'm very optimistic that can become a billionaire brand for us.
Nicolas Hieronimus: 78:04 So tell us about CeraVe.
Myriam Cohen-Welgryn: 78:05 Yes. So talking about billionaire brand, CeraVe just literally in Jan became a billion brand. And for the question on the performance in the US, well, although performance is outstanding with a growth at plus 55%, growing 3x the market. The potential of that brand in the US is enormous and we are confident that the growth will continue. First, because the moisturizing part of the range has the potential to recruit new consumers to the market. Second, because we are growing in new categories with outstanding performance, cleansers became number two in the US And we have other categories like acne, which are currently booming and where we are only number four. We launched it two years ago. We are only number four, and there is massive opportunity for growth. The performance in the US in the last months has been slightly impacted by some difficulties in the capacities. We literally sell everything we produce. And we've been doing massive investments, both short term and long term to make sure we can accompany the growth of that amazing brand.
Nicolas Hieronimus: 79:23 And just to complement on the incredible power of attraction of that brand, I think I was told a couple of days ago that CeraVe had become the number one beauty brand, all categories together, on Amazon in the USA And that's a major achievement for a brand that only sells moisturizers. So I think that the -- for me, for CeraVe, sky is the limit and international skies are still very open.
Myriam Cohen-Welgryn: 79:49 Thank you very much. Nice problem to have to have [Indiscernible] it quickly enough.
Operator: 80:00 Thank you. [Operator Instructions] And the next question comes from the line of Tom Sykes from Deutsche Bank.
Tom Sykes: 80:16 Yes. First question was just on the 11/11 Festival and maybe you could just talk about the level of promotion that you have to see there to generate the volume growth. And how you think about the sales growth versus profit growth going forward for 11/11? And then also on your online spend, obviously, that's gone up as a proportion of your A&P and the A&P has gone up. Do you think you're still getting the same incremental returns from that increased online spend? Or do you think there are signs that others are catching up at all? I mean obviously you have a leadership. But are you still getting the same incremental benefit from the increased online spend there, please?
Nicolas Hieronimus: 81:12 Okay. Maybe I'll give a broad answer on the Double 11 question. And then Cyril, if you want to complement, feel free to do it. You're right to say that Double 11 is a very fierce battle which can be won in many different ways. The way we do it and that's the mandate that our Chinese team have is to always find the right equation to deliver profitable growth. So we do not embark into crazy promotions to win shares. We have other types of assets and that I think, has been pretty well controlled to avoid unnecessary promotional intensity. But Cyril, maybe you can complement on that because your – even though L'Oréal Paris is the number one brand in Double 11, Lancome and the other luxury brands are very much part of the success of.
Cyril Chapuy: 82:11 Sure. I think 11/11 is a fantastic recruitment event also of new consumers. And beyond, obviously, having interesting deals for consumers, it's -- at the end of the day, it's a festival. I think 11/11 is -- the brands that cut through 11/11 are the ones that play much more than that, much more than just promotional activity. For instance, Saint Laurent, this year was the number one makeup brand in 11/11, all channels included, including mass market, includes local brands. It was because we had a very strong innovation that we decided to starify during 11/11. So I think when your brands are strong and powerful and desired by the consumers you can avoid what we consider as a not very long-term vision, which is high promotions. In L'Oréal Luxe in China has 6 brands in the top 20 of the markets. And it really allows us to build very strong pushes behind events like that without falling into the trap of high promotions.
Nicolas Hieronimus: 83:13 And going back maybe to something that was highlighted by Alexis and several division presidents, it's typically an area where the investment that we've made in revenue growth management tools allow us to adapt in real time our offers to the need of the markets whilst protecting the profitability, and China remains a very productive and relutive market. So you have -- you should not worry about that. 83:40 As it relates to digital A&P, it's true that now it's 73% of our spend. And it corresponds to the time spent by our consumers and particularly the youngest one, Gen Zs and Gen X on the social media. We are constantly monitoring and there's obviously areas where we can improve the ROI of our spending. But I think what's really allowed us to stay ahead of the pack and it's not only the amount of money we spend, but also our ability to seize what is starting and to react very quickly to the appearance and success of new channels. Typically, I think amongst the big players the L'Oréal Group was, if not the first, one of the first one to really seize the TikTok opportunity, be it in the USA, where it contributed pretty strongly to serve as incredible performance, but also in China with [Indiscernible] with the rise of social commerce and these new ways to engage consumers appear constantly and having this both the scale and agility allow us constantly to react and adapt and to be a ways where consumers want to discover our brands.
Operator: 84:58 Thank you. Next question comes from the line of Emma Letheren from RBC. Please go ahead.
Emma Letheren: 85:08 Hi, good morning, everyone. And I was just wondering about the Consumer and Active Cosmetic margins, which both went down in 2021. What were the key drivers of this? And is competition getting tougher in these categories you're having to -- they spend more on marketing and R&D?
Nicolas Hieronimus: 85:27 It's a simple answer. It's a -- there is a famous story at L'Oréal, where we talk about the L'Oréal Risotto, the way we cook our recipe to make sure we deliver for our different stakeholders the best growth and the best profitability. And that's how we manage our divisions. Clearly, in 2021, Active Cosmetics and the Consumer Products divisions were the only 2 divisions whose stores were not closed all around the world. So they made an extra effort despite the business turbulences to increase their profitability in -- significantly in 2021 particularly -- in 2020, sorry, particularly for ACD, but also for CPD. And in this year of rebound we rebalanced a little bit to allow CPD to invest more strongly on their brands. And it paid off, because, as you saw from Alexis presentation the acceleration his division demonstrated quarter-after-quarter both versus 2019, but also versus the market was stellar. And as far as the ACD is concerned with a growth of plus 32%, I think and this level of profitability, I don't think anybody can be complaining about the fact that they reduced slightly by 20 basis points their total profit because in absolute value it's a major improvement. So that's where basically our choices.
Emma Letheren: 86:59 Okay. Thank you.
Operator: 87:03 Thank you. [Operator Instructions] And the next question comes from the line of Javier Escalante from Evercore.
Javier Escalante Manzo: 87:18 Hi, good morning, everyone. Congratulations on the strong results. I would like to touch bases again on the operating leverage. So basically, if you can explain a little bit, you -- 29% of your sales are already in e-commerce. The plan is to be 50%. And if you can talk about where are you in the investment in digitalization, whether do you feel that you still need to invest. And to what extent we are closer to getting the same buck for less buck as you mentioned earlier? And if there is any opportunities to optimize the brick-and-mortar model, which is going to be growing very little or if not declining? Thank you very much.
Nicolas Hieronimus: 88:11 Do you want to say a word, Christophe? And then I'll...
Christophe Babule: 88:15 Yes. Maybe on the leverage that you mentioned. Well, first, we will keep investing heavily on digital. Don't forget that when we speak about the overall sales of e-commerce, there are still a huge gap between some countries. On one side, you have China that is already achieving more than 50% of the sales on e-commerce. But we've seen all the rest of the regions a huge potential. And that's what we've been seeing this year, for example, in regions like Latin America or [Indiscernible] increasing very heavily because we've been investing in those regions. So definitely, on one side, for very mature countries, of course, we will be monitoring now if we can get more or less. But in other regions, we are convinced that it's still time to keep investing because level of sales in e-commerce are still in the range of 15%, 20% depending on the regions.
Nicolas Hieronimus: 89:17 Yes. And to your question about the allocation of resources between brick-and-mortar and digital, clearly, as Christophe says, we will continue to invest in digital and at the same time, we have already and that's been one of the benefits of this COVID crisis, is that we have been able to really cut down the long tail of our retail stores in many countries around the world where these are -- some of our own stores or the department stores in the USA, I think, Cyril, we closed 1,300 department stores of the -- in the USA and kept the good ones. Because you must never forget that it's not going to be just an e-commerce play. And if I look at China, the -- as soon as people can access stores, the brick and mortar the traffic and sales go back up. And we really live in a world, we call it [Indiscernible] online plus offline, where the 2 worlds are really intertwined, where consumers that shop in stores want to have an access to information on their phone, and people who shop online are replenishing after a great experience they got on their stores. So it's really a 2-channel play. And by the way, we are bringing digital into stores. And you saw it through diagnosis, through virtual trials that are amplifying the impact of our beauty advisers. And all this is one ecosystem, which we will continue to grow and that's the way it would be the markets.
Operator: 90:51 Thank you. Next question from the line of [indiscernible] from Bloomberg.
Unidentified Analyst: 90:57 Yes, hello. Thank you for taking my questions. I had two questions. Can you give us a clarification when it comes to price increases for your products this year? With inflation creeping up, have you already implemented price increases? And -- or do you plan to? And by roughly what percentage? And I was wondering in the same way that Nestle reduced its stake in L'Oréal in December, I was wondering if -- what are your long-term plans when it comes to your stake in Sanofi?
Nicolas Hieronimus: 91:38 Okay. On price increases, and maybe I can hand over to Alexis for the Consumer Products division, which is the most sensitive on that topic. But I think the global message is that as I explained our way to offset inflation on -- in cost of goods is really a mix of many different solutions, both work from our operations teams in negotiation and substitution, but also as it relates to price. That's why we're talking about revenue growth management. It's a blend of changing our promotional strategy, changing our format strategy and increasing some of our products, which has been already most of them agreed upon by the trade. But maybe you want to expand on that, Alexis?
Alexis Perakis-Valat: 92:24 Yes, absolutely. As Nicolas said, it's a blend of many levers. One of the very important lever is actually innovation. And we're very disciplined at making sure that when we bring innovation, it's gross margin accretive and value creative innovation for us and for our retailers. That's why also we've been investing for some years now on talent, on processes and tools to monitor all that. Because I would say the two key words in this topic is, first, granularity. Because it – really the reaction of consumers and our retailers really depends by geography, by category, even within a brand, by type of product. So granularity is very important. And that's why tools and talent and talented teams are very, very important. 93:12 And the second keyword is partnership, because at the end retailers are responsible for fixing prices. And the question is, how can we create value for them and for us? And we have ongoing discussions that are well underway, and everybody is seeing what's happening. So yes, we will increase prices. But in the most intelligent way to create value both for our retailers, for us and for our consumers.
Nicolas Hieronimus: 93:41 Thank you, Alexis. And it relates to Sanofi, which is indeed, a long-term investment for L'Oréal, I will hand over to Christophe Babule, who's actually representing L'Oréal and the Board of Directors of Sanofi. So maybe you want to say a few words about it.
Christophe Babule: 93:56 Yes. Sanofi, as we've been saying already in the past, it is a financial investment that was a bit more now than €10 billion. And for the time being this investment is still providing as you can see in the results, a nice amount of dividends, probably in the range now close to €400 million in 2022. So even when we do big operations like the one with Nestle, as you can see, it was not needed to activate this financial investment and we'll leave the door open. So it will depend on what will be the next big operations that we may have in the future.
Nicolas Hieronimus: 94:44 Thank you, Christophe. I think we are out of questions. So I thank everybody for their attention. I thank all the presenters for their great work. And once again, I reiterate my trust and conviction in the ability of L'Oréal to deliver another good year of growth in sales and profits. Thank you very much to you all.